Operator: Good afternoon, ladies and gentlemen, and welcome to the Nemetschek SE Earnings Call for the Financial Year 2024. At this time, all participants have been placed on listen-only mode. The floor will be open for your questions following the presentation. Let me now turn the floor over to Stefanie Zimmermann.
Stefanie Zimmermann: Thank you, operator, and hello, everyone, and a big welcome. Thanks for joining our earnings call today to discuss the results for the financial year 2024 and the outlook for 2025 with us. With me today are our CFO, Yves Padrines and our CFO, Louise Ofverstrom. Today's conference call is being recorded. A replay of the call will be available at our website after the call. Additionally, you will find the annual report, the presentation and the press release on our Investor Relations website as well. But now let's get started. So, I would like to turn over to our CEO, Yves.
Yves Padrines: Thank you, Stefanie. Welcome, everyone, to our financial year 2024 earnings call. As usual, we have prepared a short but informative presentation on the highlights of the financial year 2024 that our CFO, Louise Ofverstrom, and I will briefly walk you through so that we have enough time to address any questions you may have during the Q&A session. As you can see on Slide number 2, we have a few topics today that we would like to talk about. We'll start with a short review of the financial results as well as a strategic highlight of the past year 2024, before we give you an update on the considerable progress we have already made in our transition to a subscription and SaaS-centric business model. After that, I will hand over to Louise who will dig a bit deeper into important aspects of our financial results. Finally, we will also talk about our financial outlook for the current financial year 2025. After celebrating the 60th anniversary of the Nemetschek Group in 2023, we reached another significant milestone last year, the 25th anniversary of the IPO of Nemechek SE. The company's IPO in 1999 marked the start of an impressive success story. Over the past 25 years, Nemetschek Group has grown from a small German software provider to a leading global provider of digital solutions, the AEC/O and media industries. His success story is first and foremost rooted in the strength of our operational business. And it is operational strength that has made 2024 another very successful year for the Nemetschek Group, despite the growing global challenges and economic uncertainties, particularly in the construction industry. Thanks to a clear strategic direction and innovative strength, we have mastered the challenges of the market and also further strengthens our position in our AEC/O and media industries. When we translate what I just said about our past financial year into measurable KPIs, you will see on Page number 4 that we achieved or even clearly exceeded every single one of our financial goals in 2024. Starting at the top, the revenue growth. We had a very strong finish of the year, especially in our Design and Build segment. We finished the year with a total revenue of EUR996 million or organic, so without the contribution of GoCanvas and currency-adjusted growth ended at plus 14%, significantly above our guidance range of 10% to 11%. If we look at the contribution from GoCanvas, which we consolidated as of July 01, 2024, we'll see that the acquisition has also delivered a very strong result, adding around 300 basis points revenue growth and therefore exactly in line with our plans. Same growth driver was once again our recurring revenue and in particular the demand for subscription and SaaS solution that is captured in our annual recurring revenue KPI, which grew by plus 34.6% organic, so clearly above our target of more than 25%. Same is true if we look at the ARR growth including GoCanvas. With a growth of plus 41.9%, the increase in ARR is significantly exceeding our revised outlook of more than 30% as well. Group's EBITDA, including all transition and acquisition-related effects, grew by plus 16.8% to EUR301 million. The corresponding reported EBITDA margin including GoCanvas was 30.2% as well as the organic EBITDA margin, so excluding the dilutive effect, the still lower profitability of GoCanvas and the impact of the PPA charges of 31.1%, where in both case slightly above the upper end of our forecast range of 29% to 30% and the revised 130% to 31%. And last but certainly not least, the success of our subscription and SaaS strategy becomes evident by looking at the developments for recurring revenues. In line with our guidance, the share of recurring revenue as a percentage of total revenue strongly increased by plus 10 percentage points year-over-year to a new record high of 86.5%. In addition to our financial highlights, you see an overview of the various strategic highlights in 2024 in each of our defined focus area on page number 5. Starting on the left side, Artificial Intelligence plays a key role in optimizing our internal processes as well as in our product development to further enhance solution of our customers. In this context, it's important to us that all our activities are based on ethical and trustworthy AI practices. To further accelerate our AI activities, we have established our AI and Data Innovation Hub in 2024. The idea behind this hub is to drive efficiency and innovation across the entire Nemetschek group and to create synergies. While we have again introduced multiple new AI capabilities in 2024, we will continue to add additional AI features to our solution in the future. So, stay tuned. As you all know, it's virtually impossible to achieve any of the global climate targets without making the construction and operational phases of buildings more sustainable. We therefore aim to set new standards with our leading solutions for an environmentally friendly and resource-efficient construction industry and have consequently integrated sustainability more deeply into our corporate strategy. Of course, one of our absolute key priorities is to further strengthen our resilience by continuing to increase the share of our recurring revenue, particularly by transitioning to a subscription and SaaS-centric business model. I already mentioned the new record highs that we achieved in this area in 2024. As we want to keep you updated on the progress of one of our key strategic priorities, we'll provide a detailed update on our subscription transition in a few minutes. Over the last year, we also continued to improve our go-to-market strategy, for example, by further strengthening or expanding our international footprint. Our aim is to further increase our resilience, for instance by continuing to reduce the dependency on the European market. In order to achieve this goal, we focus on higher growth regions such as North America and Asia Pacific. In Q2 2024, for example, opened our first Nemetschek India go-to-market office in Mumbai with a dedicated local team to sell multiple solutions under the Nemetschek brand. By expanding presence in the Indian market, we want to participate in the enormous growth potential of the Indian construction market in the coming years and decades. India is the third-largest construction market in the world. Going forward, Ward, we'll not only continue to address additional high-growth markets as Kingdom of Saudi Arabia, but also continue to strengthen our core cross-selling activities. Our cloud platform and infrastructure are another cornerstone of our corporate strategy. Here, we are targeting a comprehensive ecosystem by eliminating information silos and by enabling end-to-end workflows. This also enables us to introduce new and innovative products such as our open data-centric digital twin solution D Twin. As you all know, M&A has always been an integral part of Nemetschek's G&A as well as the company tremendous success story. We are therefore very excited that we were able to acquire GoCanvas in July 2024. GoCanvas is a leading provider of field worker collaboration software that digitized digitally paper-based processes, simplifies inspection and improves safety. It is by far the largest acquisition in our company's history and also a perfect fit for Nemechek in terms of technology, customer base and geographic presence. And as we were already able to report in our Q3 results, integration of GoCanvas is going according to plan and we continue to be very pleased with the operational development. Going forward, M&A will remain a cornerstone of our strategy and we'll continue to screen the market for next value-accretive acquisition as a perfect fit for Ovolio. Another way to be at the pulse, the latest technological developments and trends in our industries via our venture investment strategy. Over last year, we again made several minority investments in a series of young and highly innovative companies. An example is Document Crunch, which uses machine learning to analyze the risk within the thousands of pages of construction contracts for each project. In the light of recent events, one of their most popular features at the moment is their tariff risk assessment tool, which analyze impact of tariffs on construction contracts and thus projects. In total, over the last three years, the Nemetschek Group has acquired minority stakes in more than a dozen companies that will help us to further increase our innovative strengths and to cover important future topics like cloud solutions or artificial intelligence. Finally, in the area of business enablement, we work on a further harmonization across the Nemetschek group. This includes continuous effort to further enhance our operational excellence in order to ensure that we will be able to continue to make the most of our tremendous growth opportunities. Let's now focus on our main priority or journey to our recurring business model. On slide number 7, you will find a comprehensive overview of the current status of the transition. As you all know, Nemetschek Group is quite unique in what we do not transition our entire portfolio to a subscription SaaS-centric business model all at once. One of the advantages of our brand setup is that we can migrate our portfolio in a phased and segmented approach. This does not only give us substantially more control over the entire transition process, thus significantly reducing the associated risk. It also makes the migration more easily digestible for our customers and users as well as for our shareholders. Furthermore, it allows us to have individual subscription strategy for each of our segments that is tailored to their specific characteristics. As a result, transition is differently far advanced in all four segments. For example, migration of our media segment is already completed for quite some time with a subscription revenue share of around 59%. Manage segment is also well advanced, with a share of around 50% of subscription SaaS revenue. This segment has a structurally higher share of services and hardware revenues. We are also in the final phase of the transition here. The Build segment, we completed the highly successful subscription transition at our Bluebeam brand at the end of 2024 and reached the promised subscription share of 90% at our largest brands within the Nemetschek Group. The transition in the build segment was further supported by the acquisition of GoCanvas, which is already operating on a fully SaaS-based business model. Overall, at the end of last year, the segment was almost entirely based on recurring revenue, with a share of 89% as well, with the most of revenue coming from subscription and SaaS models. To leave us the Design segments where we have now also a high portion of recurring revenues at around 80%. In addition, we will significantly accelerate the segment's transition to subscription and sales models in 2025 with the ongoing and already well-advanced transition of Vectorworks. In DOPT also beginning of this year selling Perpetual license for new customers at Graphisoft and existing customers have until the end of this year to buy perpetual license. Our plan is also accelerating its migration subscription business model. While we will feel the temporary accounting-related impact at the individual brand level in the Design segment, the impact segment and especially at group level will however be very digestible. So, I believe it's fair to say that Nemetschek continues to be one of the very few companies that is able to show an attractive top-line growth, combining with a high profitability while transitioning to a subscription SaaS-centric business model. And with that, I hand it over to you, Louise.
Louise Ofverstrom : Thank you, Yves. And a warm welcome to our earnings call for the financial year 2024 from my side as well. Well, Yves has already touched on some of our key financial figures. So, I would therefore now like to look a bit more in detail at the most important financial aspects of the fourth quarter and, of course, also of the full year 2024 as well as also on the underlying drivers. As usual, beginning with a short overview of the last quarter on Page number 9. And all in all, I really think it's fair to say that we had an exceptionally good end of the year with a very strong growth and continued high profitability. And as you will see in our segment overview in a few minutes, the strong Q4 was mainly driven by a strong development in our Design and Build segments. In line with our strategic priority on transition to a subscription and SaaS-centric business model, our reported annual recurring revenue, which includes the contribution from our GoCanvas acquisition, recorded an increase of 41.9%. However, even if we strip out this M&A contribution of GoCanvas, the ARR growth remained at a high level with a plus of almost 35%. And as you all know, this continued strong increase in ARR is an important indicator for the group's revenue and cash flow growth potential in the coming 12 months. The main growth driver was once again the revenue from our subscription and SAAS models, which grew organically by 87.6%. Including the additional revenue contribution of GoCanvas to this KPI, which is already running on a fully SaaS-based business model, as you heard from it, the growth even reached an impressive 102%. And thanks to this strong growth in our recurring revenue base, we were able to substantially increase our organic revenues in Q4 by 26.2% despite the unchanged challenging economic environment in our end markets as well as our ongoing subscription and SaaS subscription and SaaS transition and the associated short-term accounting related impact on our financial results thereof. Including the contribution of GoCanvas, the reported revenues for the month from October to December increased by 32.5% to EUR290.9 million. Our EBITDA for the quarter increased despite our ongoing investments into the future growth of our business by 37.4% to EUR95.1 million. The corresponding EBITDA margin reached 32.7% in the fourth quarter. If we adjust for the currently still lower profitability of GoCanvas along with the IFRS related revenue haircuts, our organic EBITDA for the quarter reached 34.1%. The acquisition of GoCanvas and its related effects such as the increased amortization charges and the interest expenses for the financing of the deal resulted in an under proportional EPS increase of 9.6% compared to our very much higher top line and EBITDA development. We continue with an overview of our full year 2024 results on Page 10. And here, I would like to underline each assessment that we had a very successful financial year 2024 with a continued strong and profitable growth. And this is especially encouraging given our ongoing transition to a subscription and sales centric business model and the associated short-term accounting burden on our financial results during this time and also given the continuous challenging environment in our European design markets. We have already touched on the key revenue and profitability figures for the financial 2024. So, I would therefore like to focus on the right-hand side of this slide where you can see important balance sheet metrics such as the equity ratio, which is at 44.2% as well as the net debt position of EUR295 million that show the natural and intended increase in debt as a result of the GoCanvas acquisition and the financing thereof. And all in, a very healthy balance sheet. If we look at the development of these KPIs on a quarter-on-quarter basis though, you will see that thanks to our continued very strong cash generation, which is at almost 102%, net debt position has already improved by EUR75 million versus the end of Q3. And similarly, the equity ratio has improved by more than 500 basis points. On Page 11, you will find the developments of our four segments during the financial year 2024. Let's start from the left with our largest segment, Design. We achieved a strong revenue growth of 13.1% to almost EUR489 million. In particular, the fourth quarter showed a significant acceleration in growth with a plus of 27.1%, driven by a very strong business performance at year end. The last time sale of licenses to new customers as well as successful campaigns to migrate existing maintenance customers to subscription contracts at Graphisoft contributed strongly to this growth. And the EBITDA margin for our Design segment for the financial year 2024 expanded despite higher bonus payments and the simultaneous transition of the business to subscription and SaaS models to 29.6% versus 27.7% in the previous year. And as promised, also our Build segment showed a stellar performance in the fourth quarter, which reflects our largest brand within the group, Bluebeam, was here coming out of the successfully completed transition of its business model to a subscription centric business model. On an organic basis, revenues in Q4 for Build grew by 38.3%. If we add the contribution of GoCanvas, which is consolidated in this segment since July 1, the growth rate reached almost 60% in the fourth quarter. So, For the full-year, the revenue growth of the Build segment, including our canvas, amounted to an impressive 28.4%. However, the segment also recorded a strong organic growth of 18%. EBITDA margin reached 31.8%, mainly here due to the dilutive effect of GoCanvas and also the continued investments into the future growth of this strongly growing segment and Bluebeam's subscription transition. Our smallest segment, Manage, which accounts for 5% of the group's revenue, was slight decline of 1.5% in the financial year 2024. However, the segment's growth was partially negatively impacted by the discontinuation of a low-margin service unit advisory service unit that we disposed of. Despite the continued investment into the segment's product portfolio as well as investments into future growth opportunities, the margin expanded markedly to 10.2% from just 3.6% last year. And finally, in our Media segment, revenues grew by 7.8% to EUR120.1 million in 2024. The Brand, therefore, again grew faster than the underlying market, although its business was still impacted by the ongoing restrained demand environment in the important U.S. Market. The EBITDA margin in the media segment remained at a high level and reached 35.7%. As we outlined at the beginning of this presentation, the continued internationalization of our business remains one of our key strategic priorities. On Slide number 12, you can clearly see that we have successfully strengthened and expanded our international presence during the course of 2024 as well. And looking at our regional revenue development, our business outside of Europe, which includes the Americas region, at 24% growth and the Asia Pacific region, at 28% year-on-year growth, these were the strongest growth drivers over the last 12 months. In the Americas region, the important U.S. Market continued to benefit from ongoing good market conditions and continued to be our main growth driver in this region. Additionally, of course, our growth in the region was further supported by the GoCanvas acquisition. With currently 10% of our group revenue, Asia Pacific remains the key focus region for future expansion. In 2024, the region continued to enjoy a continued good-to-demand environment and offers a huge potential in markets such as India. And then to Europe, which still accounts for 49% of our group revenues, we continue to navigate the partially challenging markets in the Design segment. And while we only recorded a growth of 2.8% in our domestic markets here in Germany, the growth in Europe outside of Germany was very promising and significantly stronger at 14.7%. This growth was supported by a strong performance in our build segment in Europe, particularly from Lubeem and a good build development in our media segment as well. Our internationalization strategy and the ongoing diversification of our global presence are paying off, and we will remain committed to strengthening our position in key markets while seizing new growth opportunities. Now turn to what is one of the most important strategic priorities for us here in the Nemethird Group on Page 13, our highly successful transition to a subscription and SAAS-centric business model. And as you can see on the right-hand side, we once again delivered exceptional growth in recurring revenues in Q4. Our annual recurring revenue, ARR, grew on a reported basis by 41.9% and on an organic basis on 30% by 34.6% year-over-year, demonstrating the strong momentum of our subscription and SaaS transition. Excluding maintenance contracts, which is also included in this category, the underlying subscription and SaaS growth was even higher with more than 100% growth on a reported basis. At the same time and as expected, license revenues declined by 10.8% year-over-year, in line with our strategy and the continued shift from perpetual licenses to a subscription model. On the left-hand side on this slide, we highlight the longer-term impact of this transformation. Curbing revenues now represent 87% of our total revenue base, a new record high for the Nemetschek group. And looking at the chart, it becomes very clear what is driving this strong performance, and that is our systematic execution of the subscription-first strategy. Ever since 2020, we have an almost six-fold increase of our subscription and SaaS revenue base, achieving an outstanding compound annual growth rate of over 50%. This strong trajectory underscores the resilience, the predictability and the long-term value creation of our business model. And we are fully focused on continuing this successful transformation, further strengthening our recurring revenue streams and driving sustainable profitable growth. To conclude our review of the results for the financial year 2024, we provide a more comprehensive overview of our key P&L and cash flow items on Page number 14. As we have already addressed, reported as well as our organic revenue, ARR and EBITDA development in detail, I'd like us to look further down the P&L. You'll see that the impact from the largest acquisition in the company's history, being GoCanvas, is also reflected in the reported development on the various FX categories. For example, if we take a closer look at what is by far the largest driver of our cost base, our personnel cost, you will see a year-on-year increase of 12.5%. However, if you analyze the main components of this growth, you will see that after the very modest increase of just 3.8% in the first half of the year, personnel costs grew sharply by around 20% in the second half of the year. And as one would expect, the higher growth rate is the effect of the more than 300 additional GoCanvas employees who joined the Nemetschek Group on July 01, 2024. If we were to strip out this additional cost, the underlying organic growth in personnel cost is significantly lower and more in line with previous years underlying the continued focus we keep on our cost base. In addition, we have also already mentioned the M&A related reasons for the under-proportionate increase in EPS, in particular the additional amortization charges as well as interest expenses as a result of the GoCanvas acquisition. As we have communicated before, we initially financed GoCanvas with just over EUR600 million a large portion of the purchase price with new debt through a revolving credit facility as well as a bridge loan. In the fourth quarter, we refinanced this original bridge loan by issuing the first provisionary note, the German Schuldschein, in Nemetschek's history. We are proud to report that the Schuldschein was met with very high demand from domestic and foreign investors and was highly oversubscribed. The resulting successful placement of the transaction at the attractive conditions at the very lower end of the marketing range once again confirms the great confidence investors have in our strong business model and our solid financial position and in our future prospects. Looking at important balance sheet metrics, such as the equity ratio of 44% or the net debt to EBITDA ratio of only around one time, I think it's fair to say that Nemetschek still maintains a very solid balance sheet, also after the GoCanvas acquisition. And in addition, thanks to our aforementioned strong operational performance as well as very strong cash flow generation capabilities, we are able to continue to very quickly deliver and recreate a substantial leverage headroom for further potential M&A activities as well as investments in highly innovative startups. And with that, I'll hand it back to you, Yves.
Yves Padrines: Thank you very much, Louise. Louise has provided a very good overview the underlying drivers that have enabled us to achieve or significantly exceed all of our targets in 2024. And it is also clear that our targets for 2025 will be even more ambitious in light of our very strong performance last year and the therefore substantially higher comparison base. Before we come to the end of our presentation with our outlook for the financial year 2025, let me briefly highlight on Slide number 16, why we are still so confident to reach our ambitious goals in 2025 and beyond as well. In short, the strength of our underlying operational business, which became even more diversified and thus resilient in the recent years. Recently, there have been a lot of discussion about the impact from geopolitical issues, global conflicts, tariffs, inflation or a potential downturn of the global economy. And Nemetschek will not be immune in the case of a global recession. I would still like to use this opportunity to highlight on Page number 16 how well-diversified and resilient our business has become over the last years. Starting with the chart at the top. For the last years, we have already shown that our ACO segments are affected by deteriorating market conditions at different points in time. This helps us to better manage a potential downturn across our portfolio. In addition, you see that we have become less dependent on a single customer group or segment, in this case, Design, which today accounts only 49% versus 59% in 2019. The increased share of the Build segment along with our successful internationalization strategy also resulted in a better diversified geographic exposure, or put differently, we are less dependent on a single region or countries. Lastly, this call, we have already discussed the perhaps most important development in recent years, strong increase in the share of our recurring revenues. Along with our high customer retention rates, this revenue provides a more stable and better plannable revenue stream even during more challenging economic conditions. Coming to the end of our presentation on Page number 17. After our successful year 2024, we aim to continue our very attractive double-digit organic growth also in the coming years, further advancing also our strategic priorities. In particular, the financial year 2025, that means that in today's perspective, the executive board expects currency-adjusted revenue growth of the Nemetschek Group, including GoCanvas, in a range between 17% and 19%. This includes an M&A-related revenue contribution from the acquisition of GoCanvas of around $3.50 basis points. The EBITDA margin for the Nemetschek Group including the dilutive effect of GoCanvas is expected to be around 31%. Please keep in mind that these figures do not yet reflect the full potential of the GoCanvas acquisition, as both the revenue and EBITDA contribution in the first half of 2025 are still reduced due to the IFRS-related purchase price allocation. Based on our strong fundamentals, despite this year's higher comparison base, the ongoing subscription SaaS transition of our business model as well as the continued challenging market conditions, we expect to continue our growth path with a very attractive strong growth at the high profitability in 2025 as well. And with that, I would like to thank you for your attention and we are now happy to take your questions. Operator, please back to you.
Operator: [Operator Instructions]. And first up is George Webb from Morgan Stanley. Over to you.
George Webb: Good afternoon, Yves and Louise. I've got a few questions from my side please. Firstly, just on the demand environment and this is really touching on two areas. I guess on one hand, you called out the U.S. overall market demand conditions has been pretty good. If I look at The U.S. architectural billings index, the February read yesterday was quite soft. Recent readings overall have been in contractionary territory. So, I guess if you can contextualize how you're seeing the market versus I guess some of those other indicators out there. Secondly, regarding the German infrastructure spending fund, if you've got any early thoughts from your side around how that may benefit your business over time, those would be interesting. And then lastly, can you share how you're thinking about organic growth seasonality this year? And I'm thinking about it in a couple of areas. Firstly, whether you've seen any evidence in Q1 of demand having really pulled forward into Q4? And then secondly, bearing in mind that kind of tough comparable base you've got in the fourth quarter of 2025? Thank you.
Yves Padrines: Thank you, George. So first of all, if you look at the market conditions, clearly, of course, there are a lot of potential changes coming up. But so far, we do not see many changes in Q1 2025 versus 2024. And our expectation, our planning, how we are currently foreseeing and forecasting our business and planning our business that we do not expect 2025 to be much better or much worse than 2024 regarding the market condition for both our industry's ACO software and media and entertainment and 3D animation software. Obviously, if you look now at the reform dynamic there was still Hesitation in Europe. I mean, especially, there are still prolonged sales I mean, especially, there are still prolonged sales cycle in design markets here in Germany, in Continental Europe, clearly. Then if you look at our different sub-verticals, if you look at residential markets, still the same. So newbuild is still difficult, not only Europe, but clearly also in U.S. innovation is doing still okay. If you look at commercial, new build is also difficult here, especially again in Europe and U. S, but it depends on the sector because clearly data center, manufacturing are doing fine and office and retail are more difficult. And also, here on commercial, good business around renovation. And the public sector in general is still quite resilient as we may have seen over the last two years. But as you know also, somehow the ACO industry is benefiting clearly from all the challenges that our end customers have, because they still have a lot of delays and over budget in terms of their projects. A lot of material are still wasted. And with the potential tariff impact on material, especially in the U.S, this is clearly a push do something to make sure that they are not going to continue to waste so much material during a construction project. And last but not least, if you look at the lack of manpower, so we were talking about 7 million, a lack of 10 million workers globally in the US. And then if you look at the average age of construction workers, I mean, 42% of the current workers average globally, their average age is around 55 today. And then if you look at The U.S., issue in regard to manpower in construction, 26% of the current workers in North America or in U.S. in particularly are immigrants. So clearly, there is a huge even push in demand that there is a wakeup call for everybody in the construction industry, including small and medium business that business as usual is not an option anymore. And therefore, this should be still helping with a strong demand of digitalization for the overall workflow in design, planning, build and construct, but of course, if you look at energy efficiency also in the operate and manage phase. And Georges, now going to your second question, which is regarding Germany and what potential impact this new debt package could happen. Well, first of all, I think it's too early to tell when and how exactly it will affect demand in Germany. There will be potential positive effects, of course, with additional investments, with long-term financing, security, etcetera. Of course, in general, there could be also potential negative effects with the currently higher interest rates, which is of course bad for construction. And there are still a lot of regulation bureaucracy that needs to be fixed. But the lack of labor is also still here in Germany, which is also helping as a fact that there is a strong demand for digitalization. So also, it may take long time until really the money arrives from all of these projects. But overall, of course, what's currently going to happen in Germany will have a positive effect for sure. Now the question is when exactly. Then talking through your third question about the ongoing organic growth and demand for 2025 and especially in Q1. Yes, we have, you heard, a very, very strong Q4, especially the last few weeks of December were extremely strong in design, but also in build in particular. And yes, you may say a good point, is it a put forward for Q1? And are you going to have a weaker Q1? Good news is no. I think clearly, the demand is still highly strong, especially if you look at build. The number of new seats is currently going still at the same strength. New seats not only in North America, but also more and more internationally. I can say that clearly Europe is doing very well for Bluebeam, especially here in France and Germany. And then if you look at Q4 2025, yes, of course, we will have a higher comparison base. So that's why there will be some volatility if you look at our seasonality of performance, especially in terms of pure accounting revenue growth between Q1, Q2, Q3 and Q4, a big difference between H1 and H2. Why? I mean, the main reason is, first of all, the fact that due to the Bluebeam low comparison basis that we have in H1 2024, H1 '2025 is going to be still very strong in the build segment in terms of revenue growth. Especially Q1, it will not be as strong as in Q4, but still stronger than what it should be normalized. Q2 will be still very strong, but less strong than in Q1. And then H2 will be much more normalized for the Build segment. Then if you look at Design, here, there will be also a kind of a roller coaster because we are in the middle of this subscription move. Brands, as you know, have, performed already quite well the move to subscription in terms of new seats, especially Vectorworks. In the beginning of last year, all new seats for existing and new customers at Vectorworks are only on subscription. The only country where we still are selling perpetual license for Vectorworks is in Japan. And then if you look at the Graphisoft, as you know, we stopped completely selling perpetual license for new customers at the beginning of this year. That's why we had a bump also in December of perpetual sale at Graphisoft. Grafisoft is still continuing to sell perpetual license in 2025 for existing customers, but we'll stop that beginning of next year. And then we are planning to have a price increase of perpetual license at Graphisoft on April 1, excluding Germany and then on July 1 in the German-speaking countries. So, there should be also kind of a good level of demand of perpetual license in March, in particular, for Archicad and Graphisoft this quarter. Then what is going to be bumpy is clearly the fact that we are doing some special campaigns on the move from maintenance SSA to subscription in our design brands, especially at ALLPLAN and Graphisoft. Vectorworks will start up a bit more aggressively also by Q3 or end of Q2 this year. What we are doing there is that really pushing existing customers to go towards subscription by offering them a good price, first of all. So usually same price as maintenance to go to subscription. And then we offer some goodies, which are usually features, which are only available via subscription, such as cloud features like DMX, for example, if you look at Archicad or potentially also some new AI features to really push them to go to subscription so that they can see the adding value of going to subscription that it's not just a price change, but clearly that there are new features which are going to be highly beneficial than to become an augmented architect. Overall, due to that, when you have renewals of SSA contract, it's usually in December. So, there will be kind of a bump of the move from SSA to subscription clearly in Q4. But then also in June usually there is kind of this bump. But the performance of the Design division over quarter will be kind of a roller coaster due mainly to the accounting effect. I hope I answered your question George.
George Webb: That's pretty helpful. Thanks a lot, Yves, and good luck to you.
Yves Padrines: Thank you.
Operator: Next up is Alice Jennings from Barclays. Over to you.
Alice Jennings: Hi, good afternoon. Thank you for the presentation and thank you for taking my questions. I'm not expecting you to provide any specific guidance and I know you said in the presentation about double-digit growth in the coming years. But I was just wondering on a high level, how would you frame the outlook for revenue growth beyond this year, so looking into 2026? And how do you think about prioritizing margin improvements versus growth going forward? And then just the second question is on your hiring and cost plans for this year. Any specific plans that you can talk to? And do you intend on using the revenue acceleration to step up investments? And what sort of margin expansion can we expect kind of beyond this year? Thank you.
Yves Padrines: So clearly, regarding revenue forecast for the coming years, of course, we're not going to guide now on 2026 and beyond. But clearly, we strongly foresee that we have a very attractive double-digit growth potential in the coming years. Clearly, with a very attractive average mid-teens growth in the coming years. The average mid-teens is there. Of course, it's an average that we can foresee and still in a high profitable way. How the margin will evolve? Obviously, we still want to invest. You should not expect suddenly that next year there will be a huge margin expansion. Of course, over time, we are going to be more efficient and it will come, but we still need to invest especially within the next few years. First of all, in innovation, AI, cloud features, et cetera. We need to innovate in our business enablement, which is to harmonize all our processes, especially if you look at harmonizing IT, accounting, finance. We have been already a long way, but still some way to go, et cetera. And then, of course, investments in go to market, especially if you look at internationalization. We want to invest much more in region where we have very small presence, especially in Asia, especially in Middle East and also in other markets. So, we want to invest. We want to focus mainly on growth. Of course, to answer your last question on our hiring cost plan, I mean, as always, Nemetschek Group, we are very careful on our cost base. We are doing that very diligently. As you know, we have also lower cost type of R&D centers like Nemetschek India, but also in Hungary, in Czech Republic, in Slovakia. We have also in Bulgaria, et cetera. That doesn't mean that we are only hiring R&D resources and engineers in these areas, of course, also in Western markets and in U.S, et cetera. But we are balancing more and more and we are much more careful over the last couple of years in our hiring cost plan.
Alice Jennings: Yes. And I think maybe to add a little bit just to that, Alice, as well is that I mean, as Yves also said, we clearly believe that the strongest value generation possibility for the MFG group is really the very, very strong revenue growth that we see in all the opportunities out there. And we will do so we're keeping a very, very attractive margin. As you can see, we have guided around 31% EBITDA margin despite the dilutive effects that we'll still see in 2025 by the GoCanvas acquisition. And we will always keep this very attractive margin, but we'll, of course, we'll create more and more headroom to say to invest into that group, but we'll be able to self-fund that by the leverage of the headroom that we create by improved in operational excellence as you've alluded to. And that's something that we invest a lot of in in into new products, feature AI, et cetera, innovation. But, of course, we harmonize, and we have the potential when we harmonize from the operational excellence on combined systems and also resources. You will, of course, in 2025 also see the full-year effect of the GoCanvas acquisition. I just alluded to that before, the half-year effect, of course, drives also an impact on our total workforce, but also total personnel cost. But these are also great colleagues that we have added to the business. And we have a very, I would say, balanced base, how we can also reallocate resources in the group, how we are joining forces on quite a few things. And that's why we can continue to create that headroom that we reinvest in to focus this growth.
Operator: And the next question comes from Knut Woller from the Baader Bank. Over to you.
Knut Woller: Yes. Hi. Thank you for taking my questions. Just a couple. First, on getting a better feeling for Digital Twin and India. You invested last years. So, what should we expect and when from this investment also in terms of revenues? Is it fair to assume that particularly that you're hoping to get some tailwind from these new initiatives in the fourth quarter when you're running against the tough comps? Then secondly, on GoCanvas, can you give us an update here on the integration and how far you are advanced now? It's also coming up with joint offerings to the market. Where are we here? And then just a small housekeeping question for Louise. On the advisory service unit, can you just give some idea about the size of the business? Thanks very much.
Yves Padrines: Hi, Knut. So, thank you. First of all, so on India and D Twin. So first of all, D Twin, so as you know, we launched really commercially this product kind of over a year ago. We have been successful of proving with some customers what is ROI, so especially large logistics centers, seaport, airports, so large complex buildings. Today, it is true that in terms of revenue, it is still very marginal, just at the beginning. And it's a little bit the thing with any new technology. As you know, Digital Twin in the construction industry is fairly new compared to manufacturing or Aerospatiale, aeronautics, etcetera. Of course, Digital Twin is depending how you define it, because it can mean different things depending on how you use it. But our open data solution is really focusing on combining historical data with live data with sensors, really focusing on the operate and manage phase and focusing on two main use cases predictive maintenance and energy efficiency use cases. For the moment, still low, it will be still very low in terms of the contribution of the revenue in 2025. And let's see what the future will bring. India, clearly, here we see big potential for the future. As I said, it is the third largest construction market in the world. We opened our office really in summer 2024. So, it's not even a little bit more than a couple of quarters now that we have this office open. So, it's also going to be marginal in terms of revenue. Clearly, here it's investment. The good news is that, as you may know, we tested also with Nemetschek India to sell bundles in suite of products and packages. So, for example, you have an Nemetschek design suite combining Libre with Bluebeam and Archicad, etcetera. And this is a way also for us to test this type of bundling and packages potentially for other markets because this is something that we have never done before as Nemetschek. It's as Nemetschek. So, it's not one over-brand going directly to India, which is normally the case and the go-to-market model of our business. They open their own offices. And here also, it's a way to test it. And so far, we are we see that it's successful because we are going there with our Nemetschek brand. And third, you can have the best product on the world, the best marketing on the world. If all the students and people going out from school, the only thing they know is about your competition, you're not going to be successful. So that's why we are investing quite a lot on academia, on education, on doing partnership, signing memorandum of understanding with large universities and schools in India to, first of all, educate the students on how, they can use digitalization, help the overall life cycle of construction to be more efficient, productive, and sustainable, and, of course, de facto to also offer free of charge some of our products so that they can learn how to use, in particular, Graphisoft, Archicad, Alplan, SDS/2, Bluebeam, Solibri, Vectorworks, et cetera. So, therefore, for the moment, you should not expect, a huge number in 2025 coming from there, but we need to prepare and still be very resilient. Especially in India, as you know, it's a market where you have to be very resilient. You should not look necessary at for short-term return. Of course, I will not say that I'm a very patient person, but clearly, you have to be resilient and that's my experience in my previous professional life for India. And then if you're resilient, if you invest, if you really make the right dedication with the right people and at all the levels, including the public sectors, it's going to be highly successful over time. GoCanvas. GoCanvas, here, the integration is going as planned, so we are very pleased. Of course, you have always hiccups in the integration, but clearly, I must say that now after eight months, it's going planned. We have very, very strong also leaders there. And some of these leaders also got promoted, like for example, the Head of Marketing of GoCanvas is now the Chief Marketing Officer for the Full Build division, including Bluebeam and GoCanvas, for example. But on the go-to-market side, we have made also very good progress. Louise and I, we were beginning of this year also at the Bluebeam customer event and the Bluebeam channel partner event. And here I can tell you that GoCanvas was very, very, very well received by also the very large Autodesk resellers. And by the way, some of them already committed now to sell Bocandas in North America and potentially also in other regions. So that just alone is already a strong commitment from this very, very large Bluebeam, who are also Autodesk's largest resellers. And then we have GoCanvas selling Bluebeam. So here clearly, that's very interesting because they have a good strong inside sales teams and direct sales team, GoCanvas. And interestingly, when they target mainly their customer target base is SME or small medium businesses like for Bluebeam, which is long tail. And usually, when they approach a customer, what we have seen already during the due diligence is that these customers are so usually you talk to the owner or and they are just at the start of really accelerating digitalization. And usually at the same time that they are looking at GoCanvas, they are also looking at Bluebeam. So, the cross-selling piece is really starting to fly, and we are very pleased with that. Of course, still early stage, but very, very positive side. We are very happy.
Louise Ofverstrom: Yes. And maybe I take then the last question, Luca. And yes, maybe I'll just add also to Canvas also on the G&A side, also, for example, in the finance team, etcetera. We're also very successful in the integration, working well together, which worked out quite fine also through the financial audit of Afinor's year-end closing despite the short time. So, we're very happy there as well. And as to manage your question the housekeeping question as to the business that we disposed of, I would say it's in the low single digit million area. And without this, the growth of the managed segment would have been slightly positive.
Knut Woller: Great. Thank you, Yves and Louise.
Operator: Thank you. And we're coming to the next question from Victor Cheng from Bank of America.
Victor Cheng: Hi. Thanks for taking my questions and congrats on the solid successful quarter. I guess, first of all, if you look at design, it seems like it's following a similar model on transitioning to subscription similar to Bluebeam. And if I remember Bluebeam, I think you moved people to subscription on maintenance pricing as well and then kind of roughly do a 10% increase every year. Is that a similar path that you're taking in terms of that magnitude of increase every year in Design? And then secondly, can you quantify maybe the impact you see in Q4 with the license pull forward? And just thinking about that as well, I suppose that's mostly for new customers in Graphisoft. So, the question is what's the mix of license sales that are to new customers versus existing customers? So presumably, we'll see a similar bump as well Q4 this year.
Yves Padrines: So first of all, thank you, Victor. And in the design subscription migration, again, each brand have a complete different strategy and sometimes even from different markets, we have also a different strategy. So, it's not at all the same exact model as for Bluebeam. In some cases, they are already doing an SSA price increase. For example, to start with, if you look at Vectorworks, and then only after they are doing this price increase of maintenance, then they are starting to move them to subscription without automatically a big increase automatic every year. That's, for example, one of the Vectorworks model. Then you have another model where you have just SSA customers moving to subscription, for example, with ALLPLAN, and then they have some price increase, but which may come in the future, but to start with no price increase and it's not committed that there will be automatically a price increase in the future. Of course, that's the goal. It's not like, for sure, it is high-single-digit price increase, etcetera. Then in some other cases, but that's very small cases. And in just in particular campaign, there are also some three years offering where we offer customers to go from, let's say, so maintenance to subscription. So, couple of brands are offering that, especially, I mean, it's mainly Graphisoft offering that. And they did that with a three year then package, where now if you signed up for that, you will have a very, very small price increase over the three years, which will be very indexed sometime to inflation or something like that. Or in some other cases, depending also on the size of the customer, there could be a negotiation that for three years there is no price increase at all just to motivate them to move to subscription. So therefore, very different for all our different brands, It's not one strategy fits all and very different than Lubin. Then if we talk about end of last year, what happened in design, clearly here very strong quarter, yes, for the Design division. But yes, a good part was coming from perpetual license. But frankly, it was a lot of strong growth coming from new seats. And the pre-buying effects on the license for existing customers really will end in Q4 2025, and it should be much smaller than what happened in Q4 2024. In fact, I mean, then if you look, for example, at ALLPLAN, ALLPLAN are selling perpetual license for some of their products, but they are still selling perpetual license. And if you look at last year, 80% of the new seats, existing or new customers, they are all subscription. And frankly, today, I mean, there is and even in Q1 now, if you look at design without disclosing too much because the quarter is not done anyway, our performance on subscription has been better than expected. The performance on perpetual license as of today has been slightly below what we expected, but look, we still have few days to come. And usually, this big peak of perpetual license are really coming quite late in the quarter as we are going to have this price increase on April 1. So, there could be some positive surprise there. But clearly in general, when you talk to customers, when you talk to resellers, they have really a tendency that, okay, now it's really normal, the normal business way. Even for existing customers now when they want to go with new seats, they go subscription. Also, because they have the full package that they want to have with b mix, for example, with the AI features, which are not necessary there when which are not there when they sell Perpetual license. So clearly, you have a lack of functionalities when you buy a Perpetual license versus subscription. That's why the demand is much smaller than it used to be.
Victor Cheng: Super clear. Thank you.
Yves Padrines: Thanks, Victor.
Operator: Our next up is Joe George from JPMorgan.
Joe George : Yes. Hi, guys. Thanks very much for taking my questions. And a couple for me, please. The first one is just a clarification question, please. On the design division, you mentioned the acceleration in the subscription transition, particularly within Graphisoft and all plan through 2025. Just to clarify, is this an incremental acceleration in the pace of the transition or is this in line with the previous plan? And then one question just on the recently launched AI functionalities you touched on in the prepared remarks. Can you just give us an update here on pricing of these functionalities and any impact that they're having on monetization and upsell rates as well? Thank you.
Yves Padrines: So, in Design, the acceleration that we are doing on subscription is first of all, some brands are stopping completely to sell Perpetual license, as I said, Graphisoft. They will they are stopping for new customers beginning of this year and beginning of next year also for existing customers. Or Vectorworks stopped completely selling perpetual license beginning of last year. Only in Japan, they still have some perpetual license and they will stop. They didn't announce it probably in the coming quarters also in Japan. Clearly, it is incremental, I mean, this acceleration. And also, now, we are also pushing existing customers to go from maintenance to subscription. The push, of course, we are doing that in a careful way. So, it's not like mandatory. If you don't move to subscription, then you lose everything. It's case by case. In some cases, yes, it's a bit more mandatory than others. But in general, we are trying to do that in a very smooth way. But the campaigns are there. We really started big campaigns in Q4 at Graphisoft and ALLPLAN continuing now. As I said, Vectorworks will also do stronger campaign on migration from maintenance to subscription of existing customers in beginning of Q3, end of Q2 of this year. Yes, it is incremental to the acceleration. Then regarding AI. AI features, there are a few of them. Of course, there is the AI visualizer, which we launched last year with multiple design brands with our different authoring tools. So here, this is a way for architects to, first of all, do quick sketching. Then also with the AI visualizer, they are able to automate quicker few tasks. For example, if you have your 3d model, you may say, okay, please add five floors or add two balconies for any two-bedroom apartments. And I want the north face to be in red bricks and the rest in wood in terms of walls. And then all of that happens soon as an example. So, of course, all of that, it's interesting. I mean, for customers, most of our customers are defining themselves as creative people, especially architects, but also if you look at, artists with Maxon. And, therefore, we want to be very careful how we position AI, and, therefore, we are doing it in an ethical and trustworthy way, which means that we are helping our customers, to become an augmented architect or augmented engineer, etcetera. And, AI is not there to replace them, but more to help them to automate more these repetitive tasks and all of that. Yes, there is an interest for them to use more AI. Yes, the plan, especially as we are going to add more AI functionality, so we are planning to launch in Q3 and we will have kind of an MVP already in Q2. These AI assistants, we already demonstrated these AI new assistants at BAU 2025 here in January in Munich, this large construction show. And this AI assistant will be first launched with Archicad at Graphisoft and then with ALLPLAN. And what is this AI assistant? It's really a way to really enhance significantly the user experience so that they are able to use also in a much easier way different features that, it will also help them to enhance some automation that they were not able to do before, etcetera, and much easy to use also product. Now, of course, all of that, what we are doing is that when you have AI on the monetization, we are trying to put AI features like Bluebeam will also launch new AI features in the coming quarter, where it will be more present in premium packages. So, it's not like it's necessary in all the basic package. We may do it to influence some perpetual license maintenance customers to move to subscription. But in general, as soon as we have good ROI type of AI features, they are definitely in the premium package. And we are also planning with some of them to potentially sell them standalone if the ROI is very strong. So, when we looked at recent studies, AI features usage with architects in general, I mean, it's still low. That's not only for Nemetschek products. I mean, I'm calling about the industry, that's an industry market study. I mean, we are clearly below the 10% of the usage. Why? I mean, first of all, because some of these architecture firms are small architecture firms. We are talking sometime about two, three, four seats. Some of them, they were still using 2D, and they are just starting to use, their three d authoring tools just to show a 3D model because their customer is asking, oh, I don't want to do just a two d, AutoCAD, a PDF map or whatever plan, I want to see now a 3D model. They are not even using the full beam functionalities. So, AI is even, for some of them, more complex. But I think over time, clearly, the usage of AI will definitely increase, especially as they will see that it's clearly helping them to be much more productive and it is helping them to be more productive already today. We have already some highly positive feedback from the people using these AI features because they can see that in terms of automation of repetitive task, etcetera, it is there and more to come.
Joe George : Great. Thank you. Super helpful. And if I could just have one follow-up, just on the growth rates within the build division. You touched on it slightly before and I'm not expecting any explicit guidance here, but could you just give us your thoughts on how we should think about the trajectory of a normalized organic growth rate within the division as it emerges from the transition and particularly after GoCanvas is fully integrated versus the currently elevated levels just now? Thanks.
Yves Padrines: Sure, Joseph. I think clearly for 2025, we are expecting the build division to be at 20% plus revenue growth. Then of course, it will normalize and we're expecting this growth to be from the mid to high teens type of revenue growth for Build over time.
Joe George : Perfect. Thanks very much guys.
Operator: And the next question is coming from Naing Soe Nay from Berenberg. Over to you.
Naing Nay Soe : Hello. Hi. Thank you for taking my questions. I've got two, please. The first one is on the 2025 guide. I think as you mentioned, you touched on how the macro outlook for 2025, you're not expecting that to change materially from what we had in 2024. But then again, if we look at the midpoint of your 2025 guidance, you're expecting organic constant currency.
Louise Ofverstrom: We cannot hear you any longer.
Yves Padrines: We lost you. We cannot hear you.
Naing Nay Soe : Can you still hear me?
Yves Padrines: Yes. Can you please the last ten seconds?
Naing Nay Soe : Okay. I'm just asking in what areas of the business you are expecting to do better in 2025? Do you see that acceleration in top line growth in the year? And then the second question, maybe one for you, Louise, is the cash conversion you highlighted very, very strong in 2024, particularly in Q4 as well. I just want to understand if there are any timing effects or one-off items in there that we should be aware of and what sort of cash conversion rates we should expect going forward?
Yves Padrines: So clearly for the 2025 guidance, as I said before and I should all realize, we have slightly, yes, definitely higher comparable. But despite that, we are still highly confident that we are going to reach our guidance also with the current start of the year, which has been good in January and February and so far, also good in March. So, to be in the 17% to 19% revenue growth including GoCanvas for 2025. Clearly, are there better areas than last year? Is there any acceleration in some area? I mean, frankly, we cannot see it. Yes, build is getting strong and even in some areas stronger. I think clearly, GoCanvas and the combination of GoCanvas and Bluebeam is helping, clearly helping. We have very, very strong demand on both Bluebeam and GoCanvas, which is going in the right direction. On Design, I would not say it's better. I mean, clearly not. I mean, it's okay. It is as we were planned, but the market conditions clearly in 2025 are not going to be worse nor better than in 2024. Now of course, if suddenly there is a huge crisis and a big recession, we won't be completely immune either. But on the other side, even if the construction industry is now exploding, well, I'm not sure that's going to we are going to follow the same explosion because again, as I said, the fact that the construction industry is also facing challenges, this is helping the AEC software industry to grow because markets realizing that business as usual is not an option for them any longer. So that's why digitalization growth and penetration of digitalization is somehow increasing, thanks also to the current crisis in the construction industry in the last few years.
Louise Ofverstrom: And let me take the second one as to the cash conversion. And you're absolutely right. We had a very strong continued strong cash conversion. As you could see, it was in 2024 and also in the Q4. There were no special one-off effects there. Of course, the better business performance, very, very strong, especially December. Of course, that adds to that in Q4, but no to say one offs in that respect that you should be paying special attention to. And that's also going forward. I mean, the very, very strong cash conversion in our is really inherent in our business model, especially in the business model of the subscription and sales-based business model. So, you should also expect that to be above one in the future as long as we are growing. Because, of course, also, the subscription models are prepayment models to say in that respect, that's why you have a little bit of higher deferred revenues and you have the higher cash conversion there. So, you should continue to expect that, so to say, on an equal basis, let's say, what we had and no special one offs. But of course, stronger business growth will also help us even stronger on the cash conversion.
Naing Nay Soe : Very helpful. Thank you very much.
Operator: And next up is Nicolas David from ODDO BHF.
Nicolas David : Yes. Good afternoon, Yves and Louise. Thank you for taking my question. I have two actually. First is regarding Graphisoft and the move to the installed base to subscription. Do you plan to push like you did in Q4 in terms of those three years plans to block price? And do you expect the same kind of positive impact on your top line with upfront revenue attached to that? Or do you think that Q4 were really something exceptional we shouldn't expect in 2025? And my second question is regarding the margins, if my math are right, if we strip out from one side the negative M&A impact you had last year and on the other side the negative impact from the twelve months consolidation of GoCanvas, it seems that you expect an underlying organic margin improvement of almost one point or even above one point. It looks a bit more than when you were calling for limited operating leverage or is it one point for you in your wording, limited operating leverage? And do you think that's a bit higher than what we should expect going forward in 26,27, one point of operating leverage? Or is it something you could deliver over time? Thank you.
Yves Padrines: Nicolas, thank you. Regarding Graphisoft, so clearly, yes, we are planning to do some to continue to specific campaign and push existing maintenance customer to move to subscription. As I said, we are doing only specific small campaigns. So, it's not like this is going to be forever. We are doing just specifically for specific months or for certain specific quarters. In some cases, it will be also just for specific region or country and not globally, etcetera. And we will see that over time. Clearly, at least three years, you will see them from time to time within the next few quarters, but it's not something that we are doing massively, clearly not. And it will be still a marginal part of the total revenue, of course, of subscription for Graphisoft.
Louise Ofverstrom: And maybe I'm not sure if I understood the question acoustically because the line was maybe not that good, but otherwise, please ask Alfred. So, on the margin side, we have a very healthy operating leverage. I think that is what you said. And in general, as I say, of course, there's a dilution in 2025 as well due to the ongoing growth of GoCanvas, which is to say they are lower than the Nemetschek Group in general. They are still a very strongly growing smaller company. But it's also the effects of the revenue haircut that you see in 2025 as well. So that is, to say, slightly south of 100 basis points, 80 basis points, around ish maybe. But it doesn't really make sense the longer we go into 2025, to look at it like that because as we said before, we are integrating and we are steering the combined business. And especially on the cost side, of course, we will also make sure that we have leverage on both sides, and it's a little bit depending on where it then lands, so to say. So, we will not be as specific on that. But you should yes. In that range, it's the approximate effect of GoCanvas resolution on the margin. And we continue to have a very strong operational operating leverage. And of course, we, as I said before, we use we have a much higher headroom that we have created than what we are to say. We could increase the margin more, but we're not doing that because we are reinvesting that into future growth. As I said, we are we think that the clear value generation is really the clear value creation is really in all those revenue growth opportunities that we have out there. So, we keep it on the very, very, very attractive level of around 31%. And the rest, we reinvest in everything that Yves also alluded to before, AI, new product bundles, new markets, etcetera, not only in the build area, which is extremely strongly growing, but in all our businesses because as you can see, we have very attractive businesses. So that's the way you should think about it. I hope that answers your question.
Nicolas David : Yes, it does. Thank you very much.
Louise Ofverstrom: Perfect. Thank you.
Operator: There are no further questions.
Louise Ofverstrom: Wonderful. So, thank you, everyone, for dialing in and for attending. We are looking forward to catching up with you soon. If you have any follow-up questions, so please contact Patrick or myself. We are happy to continue the dialogue with you. Thank you very much.
Yves Padrines: Thank you, everyone.
Louise Ofverstrom: Thank you.
Yves Padrines: Bye. Thank you.